Isaac Garden: Good afternoon, and welcome to the fourth quarter and full-year 2020 earnings discussion for PennyMac Mortgage Investment Trust. The slides that accompany this discussion are available from PennyMac Mortgage Investment Trust's Web site at www.PennyMac-REIT.com. Before we begin, let me remind you that our discussion contains forward‐looking statements that are subject to the risks identified on slide two that could cause our actual results to differ materially. Thank you. Now, I'd like to introduce David Spector, PMT's President and Chief Executive Officer who will discuss the Company's fourth quarter and full year 2020 results.
David Spector: Thank you, Isaac. PMT produced another strong quarter of financial results and book value growth, driven by the continued recovery in the fair value of its GSE credit risk transfer investments combined with strong Correspondent Production segment results. Net income attributable to common shareholders was $76.6 million, or diluted earnings per common share of $0.78. PMT paid a common dividend of $0.47 per share, returning the dividend to its pre‐COVID levels. Book value per share increased to $20.30 from $.19 95 at the end of the prior quarter, and similar to the dividend, is almost back to pre‐COVID levels. Credit spreads tightened in the fourth quarter driven by optimism related to an economic recovery supported by fiscal stimulus and the distribution of COVID-19 vaccines throughout the country. Additionally, PMT's CRT investments continued to benefit from the elevated prepayment speeds we are seeing across the industry. PMT's industry-leading correspondent production business also captured record volumes, benefiting from not only the low rate environment, but also the investments in technology and fulfillment capacity made by its manager and services provider, PennyMac Financial. And finally, we repurchased approximately 927,000 common shares of PMT during the fourth quarter at a weighted average share price of $16.88. Turning to 2020 full year results, PMT paid dividends of $1.52, and earned net income attributable to common shareholders of $27.4 million, despite the extreme market dislocations caused by uncertainties related to COVID-19 early in 2020. For the full year, we repurchased 2.8 million shares of PMT at an average price of $13.46, or $37 million. PMT navigated the market dislocation and volatility associated with the investments we manage and the businesses in which we operate remarkably well as a result of our strong risk management disciplines, which Andy will discuss in more detail. In the current market environment, I believe PMT remains uniquely positioned as the largest correspondent lender in the country to utilize its ability to create organic investments in MSRs sourced from its high quality production. PMT also benefits from the capabilities of its manager and services provider, PFSI, to effectively manage credit losses utilizing a variety of loss mitigation strategies. Before I turn it over to Andy, I would like to take a moment to express the gratitude I have for the many kind thoughts and prayers we have received since announcing the sad passing of Stan Kurland, our Founder and Chairman. While Stan had retired from day-to-day responsibilities at PennyMac, he remained a trusted advisor and a dear friend. His leadership helped lay the foundation for PennyMac's long-term success which included building and developing this deep management team that carries on his legacy.
Andy Chang: Thank you, David. I will discuss the financing PMT has against its largest long-term mortgage assets, PMT's investment activity for the quarter, and our outlook for returns from PMT's strategies. PMT's performance in 2020 reflects the disciplines we maintain in risk and capital management, and the work we did prior to the pandemic, which included financing our CRT investments using term notes that do not contain margin call provisions. As a result, PMT was not subject to margin calls on its CRT investments when their fair values declined sharply early in the year due to credit market volatility and uncertainty of the impact of COVID-19. PMT was therefore able to retain the entirety of its CRT position and the performance of these investments improved throughout the remainder of 2020. Similarly, in a year where MSR fair values declined significantly due to lower interest rates and expectations for higher prepayment activity, PMT was able to successfully manage the related liquidity risks, thanks to the success of its interest rate hedging program. PMT's capital deployment is currently focused on the large opportunity in conventional correspondent production and the related mortgage servicing rights. As you can see on slide seven of our presentation, during the quarter CRT investments continued to decrease driven by substantial runoff from prepayment activity, which exceeded fair value gains. PMT ended the quarter with $2.6 billion of CRT investments, all of which are now funded investments as PMT completed the purchase of its sixth and largest CRT transaction ever. Vandy will discuss this transaction in more detail later. New MSR investments sourced from the securitization of PMT's record $38 billion in UPB of conventional production totaled $441 million. Net of runoff, MSR and ESS investments increased $380 million. PMT's position as an industry‐leading producer of mortgage loans gives us a unique ability to create attractive, organic investments in MSRs at low interest rates. In fact, during the quarter PMT's invested equity for newly originated, low-rate MSR investments more than offset the runoff from prepayments on its CRT investments. For 2021, third‐party economic forecasts for mortgage originations now average over $3.3 trillion, another robust market supported by low mortgage rates and the Federal Reserve's commitment to keep short‐term interest rates near zero through 2023. Purchase originations are forecasted to be up approximately 10% from 2020 levels while refinance originations are expected to decrease, positioning PMT for continued strong results given its historical focus towards the purchase market.
Vandy Fartaj: Thank you, Andy. Let's begin with highlights in our Correspondent Production segment. Total correspondent acquisition volume in the quarter was a record $56.9 billion in UPB, up 28% from the prior quarter and 53% year-over-year; 67% of PMT's acquisition volumes were conventional loans, up from 55% a year ago. We saw significant market share growth in the conventional correspondent market this quarter, and our leadership position in government loans remains, as a result of our consistency, low costs and operational excellence we continue to provide to our correspondents. PMT ended the year with 714 correspondent seller relationships, up from 698 at September 30. Conventional lock volume in the quarter was nearly $40 billion in UPB, up 15% from the prior quarter and 100% year-over-year. Also, as Andy mentioned, margins in the channel have normalized, as evidenced by PMT's pretax income as a percentage of interest rate lock commitments, which was 13 basis points, down from 25 basis points in the prior quarter. For the full year, PMT acquired record volumes of mortgage loans in its Correspondent Production segment as it benefits from investments made by PFSI in the overall platform. PFSI's operational excellence combined with our commitment to fast turn times and outstanding customer service has driven PMT to become the largest correspondent aggregator in the U.S. by a wide margin, and in 2020 total loan production was over $160 billion in UPB.
Dan Perotti: Thank you, Vandy. PMT reports results through four segments: Credit Sensitive Strategies, which contributed $134.5 million in pretax income; Interest Rate Sensitive Strategies, which contributed $100.1 million in pretax loss; Correspondent Production, which contributed $52.7 million in pretax income; and Corporate, with a pretax loss of $13.3 million. The contribution from PMT's CRT investments totaled $141.8 million. This amount included $209.9 million in market-driven value gains, up from $14.5 million of such gains in the prior quarter, reflecting the impact of credit spread tightening and elevated prepayment speeds as well as expectations of recoveries of realized losses in our L Street Securities 2017-PM1 transaction. As a reminder, faster prepayment speeds benefit PMT's CRT investments as payoffs of the associated loans reduce potential for realized losses and return principal at par for investments currently held at a discount. Net gain on CRT investments also included $48.2 million in realized gains and carry, $108.4 million in realized losses primarily related to L Street Securities 2017-PM1, which Vandy discussed earlier, $100,000 in interest income on cash deposits and $8.1 million of financing expenses. PMT's interest rate strategies contributed a loss of $100.1 million in the quarter, primarily driven by net valuation related losses. MSR fair value decreased slightly despite increasing interest rates, which caused our Agency MBS and interest rate hedges to decline in value. The MSR fair value decline was driven by increased projections of future prepayment activity. Valuation-related losses in the quarter were somewhat offset by income excluding market-driven value changes, as servicing fees increased from the prior quarter driven by a larger servicing portfolio, and as PMT continues to benefit from increasing recapture income paid by PFSI. PMT's Correspondent Production segment contributed $52.7 million to pretax income for the quarter, down from $86.9 million in the prior quarter as gain on sale margins have normalized. PMT's Corporate segment includes interest income from cash and short-term investments, management fees and corporate expenses. The segment's contribution for the quarter was a pretax loss of $13.3 million. Finally, we recognized a tax benefit of $9 million in the fourth quarter compared to a tax expense of $22.7 million in the prior quarter, driven by a loss in PMT's taxable REIT subsidiary. And with that, I'll turn the discussion back over to David for some closing remarks.
David Spector: Thank you, Dan. 2020 was a challenging year for mortgage REITs, many of which were forced to sell assets at distressed levels, curtail operations, or even cease market activity for some period. I am proud of this management team's commitment and the work we have done with respect to liquidity and risk management since the inception of the company, which proved enormously beneficial for PMT as we were not forced to sell assets to generate liquidity. As a result, PMT's dividend is back to pre-COVID levels, something few other mortgage REITs can state. As the largest correspondent aggregator and with PFSI's extensive investments in foundational production technology, PMT is well-positioned for continued creation of organic investments with strong risk-adjusted returns. Lastly, we encourage investors with any questions to reach out to our Investor Relations team by email or phone. Thank you.
Operator: This concludes PennyMac Mortgage Investment Trust's fourth quarter earnings discussion. For any questions, please visit our Web site at www.PennyMac-REIT.com, or call our Investor Relations department at 818-224-7028. Thank you.
End of Q&A: